Operator: Greetings and welcome to the Kulicke & Soffa First Fiscal Quarter 2012 Results Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Joseph Elgindy, Manager of Investor Relations for Kulicke & Soffa. Thank you, Mr. Elgindy. You may begin.
Joseph Elgindy: Thank you, Jackie. Good morning everyone and welcome to Kulicke & Soffa’s fiscal 2012 first quarter conference call. Joining us on the call today are Bruno Guilmart, President and CEO, Jonathan Chou, Senior Vice President and CFO. Both will be available for Q&A after the prepared comments. For those of you who have not received a copy of today’s results, the release is available in the Investor Relations section of our website at kns.com. In addition to historical statements, today’s remarks will contain statements relating to future events and our future results. These statements are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Our actual results and financial condition may differ materially from what is indicated in those forward-looking statements. For a complete discussion of the risks associated with Kulicke & Soffa that could affect our future results and financial condition, please refer to our SEC filings, particularly, 10-K for the year ended October 1, 2011 and our other recent SEC filings. I’d now like to turn the call over to Mr. Bruno Guilmart. Please go ahead, Bruno.
Bruno Guilmart: Thank you, Joe, and thank you all for joining our call today. We’re pleased to report that revenue for the December quarter came in at the high-end of our prior guidance. [We knew] during the quarter that business will remain under pressure, given the overall macroeconomic environment combined with weaker demand from our OSAT customers. Our prior – of streamlining our cost structure deliver considerable benefit in the quarter, specifically, even with revenue significantly declining in the December quarter compared to the September quarter we’re able to maintain our gross margin at 46.1%, while generating 55.3 million of gross profit. As you can see from our results we also get our operating expenses in check. The other takeaway is that we generated an additional $19.2 million of cash during the quarter, ending with a record cash and investment position of $403.8 million. While the overall global market continues to impact demand levels in our outlook, we continue to focus on operational excellence, expanding our product offering, and managing our business efficiency through the cycle. During the December quarter, lower demand in our Ball Bonder business at the greatest impact on our results, with ball bonder revenues declining 37% from our September quarter. The decreased spend predominantly from our OSAT customers, which accounted for 59% of all our ball bonders sold in the quarter. From an application standpoint, approximately 72% of our ball bonders sold during the quarter we’re configured as copper capable bonders. Even the company cost benefit to copper on broadening customer acceptance we expect to see continued gains as we move through 2012. Approximately 9% of our ball bonders sold, we’re configured for the LED market, which represent a proportional increase from our prior quarters. We continue to view the LED space as an attractive, profitable and growing market in the future and remain focused on participating in long-term developments, especially, in commercial and general lighting applications. Turning to our Wedge Bonder equipments, revenue were down approximately 18%. This reduction was driven primarily by softening in both semiconductor and industrial market while our [served] automotive markets remain reasonably strong. The ongoing proliferation of semiconductor-based devices and the impact that have on consumers’ daily life is clearly a macro-trend working in our favor. The consumer electronics show held a few weeks ago served as the latest bright spot for future semiconductor demand, with positive [recourse] about innovation, and new products, such as ultra-books, Wi-Fi connected TVs, (indiscernible) smartphones, in addition to all the supporting infrastructure necessary to keep them connected. With that said, we remain focused in accomplishing our mission objectives of growing our industry position, broadening our product portfolio, developing our employees and leveraging our technical competencies in an effort to deliver consistent performance to our shareholders. Over the past year, we have initiated methodical approaches to guide and measure our performance in each of these categories, specifically geared towards leveraging our technical competencies and growing our product portfolio, we have enhanced our internal business development team. This and other focused cross-functional teams [scrubbed] the organization as (indiscernible) as an outcome to our new tier strategic planning process, which establishes principal guidelines, objectives and the road map to execute on the company’s long-term goals. I’ll now turn the call over to Jonathan Chou for a more detailed financial review of the December quarter. Jonathan?
Jonathan Chou: Thank you, Bruno. My remarks today will only refer to GAAP results. On today’s call, I will compare the December quarter to September quarter. Net revenue for the quarter was $120 million, down $60.3 million from September quarter. The net revenue change was driven primarily by lower equipment volume. Considering the 33.5% reduction in net revenue, gross margin improved to 46.1% with gross profit at $55.3 million. This strong and continued gross margin performance is attributable to our flexible manufacturing model and our ability to provide a steady flow of new equipment features, which support higher average selling prices. Operating expense were $42.9 million, down $17.2 million from the September quarter. This significant reduction reflects a combination of the impact of our ongoing cost control and efficiency efforts and some additional items in both the September and December quarters. These additional items, which totaled approximately $10.4 million, include a non-cash building write-down, foreign exchange loss, higher AR reserve and a favorable gain on the pension curtailment. Additionally, we benefited from several reductions in controllable costs totaling $7.1 million. This includes a $3.4 million reduction in variable expense primarily associated with selling and employee incentives. A $2.2 million savings related to our [copper-wire] initiatives on lowering discretionary spending during low revenue quarters, and a $1.5 million reduction of quarterly headcount expenses. Looking ahead to the March quarter, we estimate total operating expenses will increase to $47.2 million. Income from operation was $12.4 million, and our tax provision came in at $2 million for the December quarter. We continue to target a long-term effective tax rate of 15%. During the December quarter, we generated an impressive $33.8 million of cash flow from operation. We ended the quarter with stronger total cash and investments of $403.8 million or $5.41 per diluted share. With this strong cash balance we have ample resources to redeem our $110 million convertible note this coming June, maintain our ongoing R&D road map and continue to explore other external areas of growth. Working capital defined as account receivable, plus inventory less accounts payable decreased by $24.9 million sequentially to $150.5 million. From a DSO perspective, primarily due to credit extension and change in customer and product mix, our day sales outstanding increased 14 days to 83 days. With respect to inventories, our day sales of inventory increased by 16 days to 83 days. This increase is largely a function of rapid volume reduction over the prior quarter of our accounts payable days decreased by 6 days to 27 days. This concludes the financial review portion of our call. I will now turn the discussion back over to Bruno for the March quarter business outlook.
Bruno Guilmart: Thank you, Jonathan. Looking forward to the March quarter, we have issued guidance for revenue to be in the range of $125 million to $135 million, which represent an improvement over the December quarter. This guidance reflects the continued economic environment and ongoing conservative spending on our customer sites. We exited the December quarter in one of the best financial position K&S has ever been. We continue to have an industry leading product portfolio, which we expect to further improve with a series of planned new product launches of 2012. We’ll continue to invest in R&D support of our Gold, Copper and LED Ball Bonder Solution, as well as Wedge Bonder Solution’s to maintain our leadership in this key market we serve. We’ll also continue our R&D funding efforts on new market opportunities while continuing to improve operational efficiencies and our balance sheet strengths. These efforts are central to our long-term business strategy of broadening our product offering in order to improve cross-technical performance. This concludes our prepared remarks. Operator, we will now be happy to take any questions.
Operator: Thank you. (Operator Instructions) Thank you. Our first question is coming from Krish Sankar of Bank of America Merrill Lynch.
Krish Sankar - Bank of America Merrill Lynch: Yeah, hi, thanks for taking my question. I’ve a couple of them. Bruno, if you look into the March quarter; can you tell us the directionality of the different business between ball – ball bonders, wedge bonders and within ball working with LED?
Bruno Guilmart: Basically, I’d say from a mix perspective, not a huge change, okay. The drivers, the main driver for us is continued to be copper. If you see, I think, if you look at that what happened in the past versus what we’ve tried achieve, you see that’s, even in a down cycle we’ve managed the company very tightly in order to stay basically profitable. We’ve been able with some customers to manage our business and to linearize it a little bit better than we had in the past mostly because in anticipation that in the second half of this year looking at calendar, business should pickup significantly and a large portion of all the new design we’re receiving right now from their customers are required profit, okay. So that’s one of the main driver and yeah that’s what we see the most important driver. Another driver, and we mentioned that in previous calls is we’re getting strong momentum over this [scale] is much different with our AT Premier equipment, which are wafer-level bumping equipment and there is a more and more, I’d say devices requiring CMOS sensor for tablets and smartphone applications, we’ve seen a – I’d say, a regain [actual development] of the demand for these products and to the point that this is one of the things we’re looking at developing further on our road map. But I’d say, by and large copper will remain the main driver again for this year as far as demand is concerned.
Krish Sankar - Bank of America Merrill Lynch: All right. And then a question for Jonathan, I mean, really strong cash flow generation, I understand the [conduit] that’s coming through, but longer term what are the uses of cash you’re thinking about?
Jonathan Chou: I think as I mentioned in my prepared remarks, in addition to that we’re looking – we’re continuing to actually support the R&D side. We also mentioned the fact that we’ve a multi-year kind of a strategy in terms of strategic plan. And as part of that plan, as part of our annual operating plan, there is actually areas that we’d like to basically grow organically as well as non-organic. And so we’ve a very well thought through [method] in a screening process and how we actually look at some of the technologies out there that could actually compliment our existing portfolio. So, those are the areas that we’ll look at.
Krish Sankar - Bank of America Merrill Lynch: All right. And then a final question for Jonathan, I mean, really you guys have done a good job in the cost control. Where are we in the cost control, be like the late innings that most of the low-hanging fruit has been removed or do you think there is still lot more cost control to come down the road? Thank you.
Jonathan Chou: Well, I think the cost control side this company has always been fairly – I’d say from a cost control perspective, it’s always been there. I think what we’ve done this quarter compared to prior quarter is that we’re able to – just like our flexible manufacturing, we’re able to actually have a bit more flex in terms of our cost in a sort of a lower revenue quarter. And you can see we’re actually looking at next quarter – this current quarter at about the same level, about $37 million of fixed cost. So, we’re able to actually bring that down that because of some of these one-time costs initiatives that we did. So, I think we’re at the right level right now. Obviously, there is always some slight improvement more so on the cost side and we’ll continue to look for those over time. So, I think we had a fairly good cost picture now.
Bruno Guilmart: And if I may add one point, Krish, I think in the past, the company has reacted also very quickly in reducing headcounts in the full-time employee categories. We’re able to manage our customer without doing any of that. So, we’re using our flexible workforce in operations, as it is a flexible work force, we’ve temporary workers, but we’ve not basically gone through any reduction of full-time employee workforce as we’ve reduced our cost structure. And as Jonathan said, we believe that keeping investing in R&D is critical for the company’s future. We had a number of new markets that we’re – I’d say, in the process of integrating and qualifying and defining how we can enter. And this is an area where we will be focusing while there is a – other nomination critical areas where we’ve the ability to either [differ] or judge decide not to spend the money at that time.
Krish Sankar - Bank of America Merrill Lynch: Okay. Thanks, Bruno. Thanks, Jonathan.
Bruno Guilmart: Okay.
Operator: Thank you. Our next question is coming from Tom Diffely of D.A. Davidson.
Tom Diffely – D.A. Davidson: Yeah, good day. So, just one more on the R&D side, you talked about the general development efforts going up in R&D, but there was a pretty big sequential decrease in the R&D line and I was just kind of curious, is that one-time service in that number or is that a natural number, that $14 million?
Jonathan Chou: Yes. I believe that R&D side, its really part of our last quarter is kind of basically a cost containment. We did actually defer some of the R&D spent actually allows us to come down a bit.
Tom Diffely – D.A. Davidson: Okay, so you expect it to bounce back up at $16 million range?
Jonathan Chou: Yeah.
Tom Diffely – D.A. Davidson: Okay.
Jonathan Chou: Yeah, we basically would – are tracking about $16 million…
Tom Diffely – D.A. Davidson: Okay.
Jonathan Chou: …16 per quarter.
Tom Diffely – D.A. Davidson: And then based on the mix you’re seeing for the current quarter, any impacts into the gross margin profile you expect to see?
Jonathan Chou: The impacts into gross margin profile?
Tom Diffely – D.A. Davidson: Yeah, for the March quarter based on the mix that you’re seeing?
Jonathan Chou: Yes. I think there shouldn’t be any surprises in terms of what we’ve been tracking, but as you know, we’ve been (indiscernible) gross margin.
Tom Diffely – D.A. Davidson: Okay, fair enough. All right, and then, Bruno, you talked about a significant increase in demand for copper from your customer base, but then you also talked about you’re assuming your customers are conservative right now. So, $125 million to $135 million, does that assume that you may not see a big slag of the copper business in the current quarter then to have it revent?
Bruno Guilmart: I mean, it’s probably we’ll remain, I mean – it’s not -- it’s we’re guiding sequentially up, but not [recall] significantly up. So from a profit perspective, I don’t think you’ll see a huge tranche from – in terms of mix from what we’ve done in the first quarter versus what that will be in the second quarter.
Tom Diffely – D.A. Davidson: Okay. And it sounds like a lot of the customers are talking about ramping up their copper capacities pretty significantly this year again, but it sounds like you just – well, I guess maybe ask another way, what’s your current visibility in terms of in weak times and how it’s changed post Chinese New Year?
Bruno Guilmart: Well, again, I mean, we’ve -- I think we’ve taken the (indiscernible) to guide the current quarter, and we’re (indiscernible) quarter. We do believe that we’ve touched the bottom, which is why we’re, so self confident to be able to guide some modest growth. But it’s still, well just the degree I mean here in Asia, I would say restarting the factories after about two weeks of – with Chinese New Year and everybody looks at what’s going to happen and I think we’re going to see that’s starting from next week. Still a lot of factories are shutdown this week, a lot of hope done of what happened after Chinese New Year. So right now in the visibility we have is -- the visibility we've a good quarter. As I’ve said, we’ve deals with a number of customers, a lot more, I would say intimacy and we’ve been able to, I’d say manage a little bit better the business than we have done in the past, so that as opposed to this big peak and valleys, hopefully we have a little bit more linearity and also customers it’s also their advantage to try to plan in advance as they can see anyway that’s already designed from their customers, all are coming in copper. So there is a lot of anticipation here and it’s not pervasive, not just for the [cyclicality] in Taiwan, it’s just across the board. If you do not have the best in class solutions with copper, you’re going to lose that business.
Tom Diffely – D.A. Davidson: Okay. And at this point are you starting to see an expansion of your customer base using copper? And it’s pretty heavily focused on copper, well last year, I’m just wondering if it’s starting to migrate more to the IDMs and other OSAT?
Bruno Guilmart: Well, we think – we’re still very OSAT dependent, okay because OSAT is about 80% of our business. The IDMs has been always slower to move than the OSAT, and on top of that more and more of them are outsourcing to OSAT. They’re keen to, I mean, they’re trying to focus on more of their legacy products. So I don’t think we’re going to see a huge traction coming out of the IDMs. And that the traction will continue to come from the OSAT based customer except that – instead of having, I mean, last year we had more than two [AVs] started to expand, I mean, now its pretty much expanded to try OSAT, I would say, players who – but if you have to get into copper, if they do not want to lose their business through the competition.
Tom Diffely – D.A. Davidson: Okay. Thank you.
Operator: Thank you. (Operator Instructions) Our next question is coming from Satya Kumar of Credit Suisse.
Satya Kumar - Credit Suisse: Yeah. Hi, can you hear me?
Bruno Guilmart: Hi Satya, we can hear you fine.
Jonathan Chou: Hey, Satya.
Satya Kumar - Credit Suisse: Yeah. Hi. So basically, I was just trying to get a sense of what’s happening on seasonal versus cyclical in the business? If I look at the Q1 revenue guidance for last couple of years, obviously we’ve been up a lot more 20% to 40% versus this year where you’re guiding closer to 10%. If you look at the top two sub-cons maybe they’ve converted about 40% to 50% to copper at the moment. Are we -- is this Q1 guidance a reflection of perhaps the slowing copper conversion at the top sub-cons, or is it more of the kind of seasonal business strength in the industry?
Bruno Guilmart: No. I think, our Q1 actually – the good thing about Q1 which is our Q2, I suppose, I mean, this is more linked to the overall global economy environment that we’re in, I mean if you’re, I know there is a lot of companies that have announced their results and I would say by and large they’re announcing either flat or declining sequential quarter versus the December quarter. So we are one of the two companies who are really able to have a little bump over the previous quarter. So let’s not forget that it’s been a pretty rough macroeconomic environment. Our customers and their customers are still very cautious. There’s a lot of issues that’s still to be sorted out in Europe. There is some uncertainty in Asia, should the Europeans take over the money out of Asia. However, a good sign is that there is still a lot of – as we all we’ve seen at the consumer electronic show that that’s a – a lot of new application coming to the market, inventory has been worked out. So we are, I’d say – and lets say, we, the industry are hopeful that the -- as we pass this quarter the business should accelerate. But again, I’ll speak again to this current quarter, this is a short quarter because of the two week shutdown of Chinese New Year. So that’s – it was a 10 to 11 weeks quarter, and despite all that we’re still able to manage to roll safely our business.
Satya Kumar - Credit Suisse: Okay. I think, well, I might have missed this Bruno, I apologize. But what did you say was the proportion of revenues in the sub-cons?
Bruno Guilmart: Our sub-cons, it is close to 80%.
Satya Kumar - Credit Suisse: 80%?
Bruno Guilmart: Yes.
Satya Kumar - Credit Suisse: Okay. And one last sort of reconciliation, I think from the industry perspective, and if I look at the commentary from one of the other backend equipment providers in the test phase, they actually saw a pretty big uptick in the orders from the sub-cons of the test side, and I guess on the packaging side if they were saying at least for bonders there has been some decline, is this due to the mix of chips, mobility might be driving more excessively high-end flip chip type demand versus for what you guys are seeing, is that sort of what’s going on?
Bruno Guilmart: Okay. I am not sure -- I mean, you cut off at a few points, so I’m not sure -- I will in fact repeat your question, so I understand it clearly. You say that the demand for the AT guide versus the backend equipment guide.
Satya Kumar - Credit Suisse: Correct. The AT guides have reported stronger orders from the sub-cons on the test side versus what your commentaries – I was just wondering what the discrepancy is?
Bruno Guilmart: Yeah. I mean the AT issue, well that’s not necessarily the same – that’s not really for the same cycle, the backend equipment [decision if you’ve taken] the entire backend. On the AT side, I mean there is, it might be more technology driven which is by the way what we should look at and compare it with some other backend suppliers you will see that’s one of the reasons that we’re able to guide up in our second quarter, its really, it’s technology driven. It’s because we have the best copper solution in the market and we still dominate that marketplace. So I think that, you can’t really -- exactly know that the AT demand versus what’s happening with back-end equipment. It maybe more AT is [modification] specific-wise, back-end is more a very long on capacity.
Satya Kumar - Credit Suisse: Got it. Thank you.
Operator: Thank you. (Operator Instructions) Our next question is coming from David Duley of Steelhead.
David Duley – Steelhead Securities, LLC: Yes, congratulations on the excellent operational execution.
Jonathan Chou: Thank you.
Bruno Guilmart: Thank you, David.
David Duley – Steelhead Securities, LLC: Just a couple of quick questions from me; I guess as a follow-up to one of the previous questions, where do you think we are in the overall copper adoption cycle; where is the overall market as a percentage in adopting copper? I realize the tests in [semi-houses] might be in the low 30% range moving to 40% range, but I get the impression the overall market is at a much lower percentage. Could you give perspective there?
Bruno Guilmart: There are; I’d say a number of reports on that, I think it’s in the range of 20% to 30% depending on whom you want to believe. There are obviously some customers which are way ahead of that, and there are customers that are way behind, but I think if you look at overall, it’s somewhere in that range of 20% to 30%.
David Duley – Steelhead Securities, LLC: Okay. And if I have, if I were to place a large order right now, how many weeks do I have to wait for delivery of the order?
Bruno Guilmart: Well, as you know David, our mode is primarily – the mode of system integration, okay. So it depends on how large the order would be, but I’d say, each time do not vary that much when we’re in the reign, in a up quarter, its about 12 weeks, right now its about 8 weeks. If you wanted to have a large order for the next quarter, we would be able to deliver without any problem.
David Duley – Steelhead Securities, LLC: Oh, so some of the big OSATs could order intraquarter and get delivery at the end of the quarter?
Bruno Guilmart: Yeah end of the quarter, early next quarter, okay. But I’d say we still have some flexibility right now as we stand, I’d say 4-5 weeks in a quarter to be able to build more should the demand come.
David Duley – Steelhead Securities, LLC: Okay. And maybe, I asked this on the last conference call, but now we probably rolled-up all the year-end numbers. Where do you think your market share is in copper or in overall ball bonding, or however you would like to characterize it?
Bruno Guilmart: Well, I mean there is – the ball bonder, there is a data I gave, which is striking probably its becoming stale. I think the latest data that was published by [DSI], its Q2 calendar last year. You said, I didn’t follow-up it, but I believe it was that time frame, okay. Q2 or Q3 and we had overall 55%, okay. There is no data -- there is no official data for copper, okay. However, as I’ve said before, we largely dominate the copper marketplace. So, I mean, what it dominate, think you can put your numbers. But right now, we had the best solution on the market and we aren’t resting on our laurels and now we need to continue to dominate that market.
David Duley – Steelhead Securities, LLC: Okay, and I’m just a bit curious about some -- when you talk about new products and new applications and you’re spending R&D dollars on those, could you just point us in the idea of what we might be spending the money on or what the applications or what you might be interested in, anything you can tell us, I realize it’s somewhat sensitive, but love to hear your thoughts there?
Bruno Guilmart: Just to correct, I’m going to come back to your question, you were asking in a minute that -- I’ve got the data, which was 65% at Q3 of last year, I believe. So, I mean, DSI lagged by about a quarter or so, okay. So, the latest available data from DSI in the quarter, whereas of June quarter of last year, we had 65% market share, this year actually I don’t think we lost any market share, if anything we may even have gained. So, that’s just to clarify the previous question. To answer your next question, which is about what our guys are doing in R&D? Well, we’re looking obviously our copper (indiscernible) and we’re looking at how we can participate in these new interconnect technologies, and obviously it continues, but they are well-known. They are various, I’d say, technologies depending on the silicon geometry node. And again, we’re looking at it from, I’d say, a technical competency on how we can leverage some of the existing platforms and work that we’ve done as well as looking at the outside by (indiscernible) also looking at technology acquisition opportunity. But we like this (indiscernible) space, okay. So that’s really where I’m not saying that we won't extend beyond that, but right now we’ve been pretty active at this organically to look at expanding our space within the (indiscernible) space.
David Duley – Steelhead Securities, LLC: Thank you.
Bruno Guilmart: You’re welcome.
Operator: Thank you. (Operator Instructions) Thank you. There are no further questions at this time. I’d like to hand the floor back over to Mr. Joe Elgindy for any closing remarks.
Joseph Elgindy: Thank you all for the time today. Before we end, I’d like to take this opportunity to remind investors that management will be presenting at the Bank of America Merrill Lynch Taiwan, Technology and Beyond Conference, which will be held at the Far Eastern Plaza Hotel in Taipei on March 13, 2012. If you’re unable to attend in person, a link of the webcast will be accessible from the investor events page of our website. Again, thank you all for the time today, Jackie this concludes our call.
Operator: Thank you, ladies and gentlemen. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you all for your participation.